Operator: Good afternoon. Welcome to Oxbridge Re’s First Quarter 2022 Earnings Call. My name is Chris, and I will be your conference operator this afternoon. At this time, all participants will be in a listen-only mode. Joining us for today’s presentation is Oxbridge Re’s Chairman, President and Chief Executive Officer, Jay Madhu; and Chief Financial Officer and Corporate Secretary, Wrendon Timothy. Following their remarks, we will open the call up for your questions. I would like to remind everyone that this call is also being broadcast live via webcast and available via webcast replay until June 11, 2022, on the Investor Information section of the Oxbridge Re website at www.oxbridgere.com. Now I would like to turn the call over to Wrendon Timothy, Chief Financial Officer of Oxford Re, who will provide the necessary cautions regarding the forward-looking statements that will be made by management during this call.
Wrendon Timothy: Thank you, operator. During today’s call, there will be forward-looking statements made regarding future events, including Oxbridge Re’s future financial performance. These forward-looking statements are made pursuant to the Private Securities Litigation Reform Act of 1995. Words such as anticipate, estimate, expect, intends, plans, projects and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions, but rather are subject to various risks and uncertainties. A detailed discussion of these risks and uncertainties that could results – that could cause actual results and events to differ materially from such forward-looking statements is included in the section entitled Risk Factors contained in our Form 10-K filed on March 30, 2022, and our Form 10-Q filed today, May 12, 2022, with the Securities and Exchange Commission. The occurrence of any of these risks and uncertainties could have a material adverse effect on the company’s business, financial condition and the volatility of our earnings, which in turn, can cause significant market price and trading volume fluctuations for securities. Any forward-looking statements made on this conference call speak only as of the date of this conference call. And except as required by law, the company undertakes no obligation to update any forward-looking statements contained on this call or in any company presentation, even if the company’s expectations or any related events, conditions or circumstances change. Now I would like to turn the call over to our Chairman, President and Chief Executive Officer, Jay Madhu. Jay?
Jay Madhu: Thank you, Wrendon, and welcome, everyone. Thank you for joining us today. As we have done over the past two years, we continue to monitor how the ongoing COVID-19 pandemic affects our markets and our business, and we will continue to adapt to any issues that arise. As we do each quarter, before we get into our results, I would like to take a moment to provide a brief overview of our company. Oxbridge Re Holdings Limited was founded over nine years ago with a mission to provide reinsurance solutions, primarily to property and casualty insurers in the Gulf Coast region of the United States. Through our licensed reinsurance subsidiary, Oxbridge Reinsurance Limited, and our licensed reinsurance sidecar, Oxbridge Re NS, we write fully collateralized policies to cover property losses from specific catastrophes. And because we write fully collateralized contracts, we believe we can compete effectively with large carriers. We specialize in underwriting low-frequency, high-severity risks, where we believe sufficient data exists to effectively analyze the risk/return profile of reinsurance contracts. Our objective is to achieve long-term growth in book value per share by writing business on a selective and opportunistic basis that will generate attractive underwriting profits relative to risk. Regarding our investment portfolio, we remain opportunistic and will deploy our capital when favorable return opportunities arise that can contribute to the growth of capital and surplus in our licensed reinsurance subsidiaries over time. Clearly, the current volatility being experienced in the global financial markets is impacting our investment portfolio as we experienced in the first quarter of 2022 with the unrealized losses. However, we remain steadfast ensuring we stay close touch into the global markets and will react as necessary. We are also very pleased to have completed our investment in Oxbridge Acquisition Corp. in early August of last year, a special purpose acquisition company, or SPAC, focused on disruptive technology. We believe innovators and entrepreneurs in such businesses as DeFi, blockchain, InsurTech or AI, offer great – offer a real and significant opportunity to build value for our investors over the long-term. We look forward to keeping you updated on its progress. Turning to our results for the first quarter of 2022. Following much stronger performance in 2021 from our operational perspective, we were pleased with the results of Q1 of the new year. Revenues were up, however, the unrealized negative change in fair value of our equity securities and other investments led to a net loss for the quarter. Looking ahead, while we are confident of our core reinsurance business, we continue to be cautious and optimistic. We are also excited about the potential value and the investment our stack can bring to our shareholders in the future. Now I’ll turn things over to Wrendon to take us through our financial results. Wrendon?
Wrendon Timothy: Thank you, Jay. I would like to remind you that our typical contract period is from June 1 to May 31 of the following year. With respect to net premiums earned, net premiums earned increased in the first quarter of 2022 due primarily to a higher weighted average rate on our reinsurance contracts in force during the period, and there were no reported losses during the three months ended March 31, 2022. Our net investment and other income rose moderately in the quarter, primarily due to the administrative fee income related to the SPAC investment. Additionally, we generated realized gains of $7,000 due to sales of equity securities during the quarter. However, as Jay mentioned, we had an unrealized loss of $230,000 due to the negative fair value change in our equity investment in Oxbridge Acquisition Corp. We also recognized a $20,000 negative change in the fair value of our equity securities compared to a gain of $124,000 in Q1 of 2021. All the factors taken together resulted in total revenues amounting to nil during the quarter compared to $319,000 in the prior year first quarter. Total expenses, which includes loss and loss adjustment expenses, policy acquisition costs and general and admin expenses, were up in the quarter due primarily to an increase in operating expenses resulting from increased personnel and other expenses, including inflationary fluctuations. We had a net loss of $387,000 in the first quarter of 2022 compared to a net loss of $20,000 last year due primarily to the unrealized negative change in the fair value of our equity securities and other investments. Turning to the financial ratios, as we have discussed before on our investor calls, we use various measures to analyze our growth and profitability of our core business operations. For our reinsurance business, we measure underwriting profitability by examining our loss ratio, acquisition ratio, expense ratio and combined ratio. Our loss ratio, which measures underwriting profitability, is the ratio of loss and loss adjustment expenses incurred to net premiums earned. For both the first quarters of 2022 and 2021, our loss ratio was zero as there were no losses or loss adjustment expenses in either period. Our acquisition cost ratio, which measures operational efficiency, compares policy acquisition costs with net premiums earned. The acquisition cost ratio remained consistent and stable at 11% in both quarters. Our expense ratio, which measures operating performance, compares policy acquisition costs and general and admin expenses with net premiums earned. Our expense ratio increased in the quarter due to the higher general and admin expenses compared to last year. Our combined ratio, which is used to measure underwriting performance, is the sum of the loss ratio and the expense ratio. This loss ratio increased to 172% in the first quarter from 150% last year, again, due to the higher general and admin expense costs during the quarter. Now turning to the balance sheet. Our investment portfolio increased to $755,000 at March 31, 2022, from $577,000 at the year-end due primarily to the net purchase of equity securities in the quarter. Other investments, which is our investment in the SPAC, declined $230,000 as measured due to the negative change in the fair value of our investment in Oxbridge Acquisition Corp. Cash and cash equivalents and restricted cash and cash equivalents increased – decreased and stood at $5.1 million at March 31, 2022, compared to $5.4 million at December 31, 2021. Total shareholders’ equity at March 31, 2022, stood at $16.3 million. Now I’d like to turn the call back over to Jay to wrap up before we take any of your questions. Jay?
Jay Madhu: Thank you, Wrendon. As previously mentioned, through our reinsurance subsidiary, we’ll look to invest close to 50% of the equity. Last year was no different. Between our reinsurance contracts and through investments in OAC Sponsor Limited, the sponsor of a SPAC, we have stuck to that resolve. While Oxbridge Re is a lead investor in the SPAC, some of the risk capital was laid off to additional investors in the sponsor at a higher share price. The result being that despite the fact that Oxbridge Re contributed approximately 34.7% of the risk capital, Oxbridge economics have significantly maximized in that it owns approximately 49.6% and 63.1% of the ordinary shares and preferred shares, respectively, of the sponsor, which attracts the Class B shares and private placement warrants respectively in the SPAC. Thus, our investment further diversifies our business and positions us to capitalize on growth in the emerging disruptive technologies being developed. We are very excited about the future value of our investments and the potential that Oxbridge Acquisition Corp. can bring to our shareholders. Looking ahead, we remain optimistic about the long-term prospects of our business. As always, we continue to evaluate additional opportunities for growth as well as further diversification of our risk profile. So in closing, our business is diversified. Our investment in Oxbridge Acquisition offers an entry into new technology businesses with a focus on blockchain, InsurTech and artificial intelligence. We remain debt-free. We have a strong balance sheet with a solid cash position. And most importantly, we have real opportunity based on a viable business model that is based on diversification. I will leave you with one thought, and that is opportunity. With that, we are ready to open the call for questions. Operator, please provide the appropriate instructions.
Operator: Thank you, sir. [Operator Instructions] And our first question will come from Kent Engelke of Capitol Securities Management. Please proceed.
Kent Engelke: Hey, Wrendon. Hey, Jay. I recognize that this is not a call about the SPAC, it’s a call about Oxbridge. But as you said many times, Oxbridge does have a significant investment in the SPAC. And if I’m not mistaken, this SPAC raised about $116 million. Also, everyone is very much aware that the environment for SPACs have changed dramatically. Simplistically speaking, how is it going? What’s taking place?
Jay Madhu: Hey, Kent. Yes, you’re right. It’s – I can’t say too much about the SPAC because it’s a different company, but we do have an investment in that. So I’d like to say at least a few words, right? So with that, when we did the investment in the SPAC, we were always of the belief that if the market went well, we would be fine. But if there were any gyrations in the market, there would be additional opportunity. And that’s exactly where we stand. We are extremely happy that we didn’t put any – we didn’t do any business combinations over the last year when we went out because that could have had a negative effect at this point. So at the moment, the IPO market has seen a lot of challenges. The SPAC market is seeing a lot of conversation. However, we’re sitting on $116 million of cash in a tax-neutral jurisdiction. And when I say tax-neutral jurisdiction, we’re in the Cayman Islands, we adhere to economic substance and substantive presence. So we’re not a PO Box company. We’re not in – sitting in the U.S. while we’re doing business in the Cayman – saying we’re doing business in Cayman. We are a Cayman – legitimate Cayman Islands business. So companies in our focused direction, blockchain, AI technology, those companies usually tend to scale outside of the U.S. And as such, they would need a presence or they would appreciate a presence in a tax-neutral jurisdiction, and here we are. So while there is – while there’s a lot of strife and there’s a lot of concern, we’re in a great position. Valuations a few weeks ago, a few months ago, a few years ago, have now come down to possibly a reality, they may go down further. But whatever the case is, we’re in a much better position. And we are able to take advantage of that, not only from where we sit, but also with our treasure trove of $116 million.
Kent Engelke: So to make sure I hear you correctly, is that with the disruption in the SPAC market, that’s very positive that you didn’t put the money to work back when you raised it in August, September, October time period. Now valuations are coming back down to a more realistic level, you’re sitting on $116 million – or the SPAC is sitting on $116 million. And you’re a viable entity in a country that has very favorable tax status, if I hear you correctly. Is that correct?
Jay Madhu: Yes, absolutely.
Kent Engelke: Cool. More of a generic question. In regards to Oxbridge’s regular reinsurance business, how are you viewing this upcoming season?
Jay Madhu: Yes. So reinsurance and insurance is a big hot topic in Florida. Florida is our – Florida is a geography that we tend to invest most of our monies in, the Southeast states of United States with a high focus in Florida. [Technical Difficulty] there is some opportunity, we’re very cautious about the market as we go forward.
Kent Engelke: I understand what you’re saying. And – so being opportunistic but also cautious, and long and short of it is, we’re all waiting to hear some positive news on the SPAC and the like, and it’s – again, I recognize you’re not the SPAC company. But the delay to date has been very opportunistic for you all because you’re able to buy stuff at a cheaper price than it was like a year ago or something like that. And so look forward to hearing further news about the SPAC.
Jay Madhu: Excellent. Thank you, Kent.
Kent Engelke: Thanks, Jay.
Operator: [Operator Instructions] Seeing no questions were in the queue, at this time, this concludes our question-and-answer session. I’d now like to turn the call back over to Mr. Madhu for his closing remarks.
Jay Madhu: Thank you for joining us on today’s call. Before we wrap up, I want to thank our employees, business partners and investors for their continued support. I especially want to express our gratitude to our Oxbridge team, who continues to leverage their significant experience to manage and build our business during these challenging times. It is their dedication and expertise that will get us through these days and we look forward to updating you on our next call. If you have any further questions, please give us a call any time. Thank you again for your time and attention today and your interest in Oxbridge. Again, I will leave you with one thought, and that is opportunity. Thank you.
Operator: Before we conclude today’s call, I would like to remind everyone that a recording of today’s call will be available for replay via a link available on the Investors section of the company’s website. Thank you for joining us today for our presentation. You may now disconnect.